Operator: Good day and welcome to the V. F. Corporation Third Quarter 2014 Earnings Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Lance Allega. Please go ahead sir.
Lance Allega : Thank you operator, and good morning, everyone, and thanks for joining us today on the call to discuss VF's third quarter 2014 results. Before we begin I'd like to remind everybody that participants on this call will make forward-looking statements. These statements are based on current expectations and are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in documents filed regularly with the SEC. Participants may also reference non-GAAP financial measures. Where applicable, you can find presentations with comparable GAAP measures in our press release, which was issued at 7 AM Eastern Time and on our website at vfc.com. Joining us on today's call will be Chairman, President and CEO, Eric Wiseman; Bob Shearer, our CFO; and VF Executives, Scott Baxter, Steve Rendle and Karl Heinz Salzburger. Following our prepared remarks we'll open the call for questions and ask that you please limit yourself to two questions per caller. Thank you and now, I'll turn the call over to Eric.
Eric Wiseman: Thanks, Lance. Good morning, everyone and thank you for joining us. Our strong third quarter results demonstrate the value creating strength of VF’s growth strategy. Our unique ability to form deep connections with consumers is led by an impressive array of innovative products, powerful brands and authentic retail experiences. VF’s achievements are the by-product of our relentless focus on creating, connecting and ultimately generating great value for our consumers, customers and our shareholders. Total VF revenues in the third quarter were up 7%, which included a bit of a foreign currency headwind. Yet despite this we’re right on track to achieve our full year growth expectation of an 8% increase. Performance during the quarter was once again led by the Outdoor & Action sports coalition which was up 11%. Our three big brands continued their strong momentum. The North Face was up 9%, Vans grew 12%, and Timberland was up 15%. And especially important result coming off of last month’s Timberland Investor Day where we detailed plans for the brand to reach $3.1 billion in revenues by 2019. And to spend a minute on Timberland I’d underscore once again just how proud we are of the work we’ve accomplished during the past three years and the important momentum we’ve established. Such strong momentum that today we’re happy to announce that we’re taking up our 2014 revenue growth outlook for the Timberland brand to 13%, a rate directly in line with their new five year growth target. A powerful brand, innovative product and global growth, built on a strategy supported by consumer insights. Timberland is a perfect example to illustrate the power of our one VF approach to business. Turning to another highlight of the third quarter, our direct-to-consumer business also continued to build on strong momentum with revenues up 16% including increases in all VF brands with retail operations. And our international business was up 9% or 10% in constant dollars with EMEA and Asia Pacific regions on track to reach their full year goals. Gross margin for the quarter improved 70 basis points to 48.3% driven by the continuing shift of our revenue mix toward higher margin businesses. Operating margin for the third quarter was up 40 basis points to 18% reflecting our disciplined balance of investments and underlying operational leverage. And all of this helped to deliver an 11% increase in earnings per share to a $1.08 for the third quarter. This strong result and the confidence that we have as we look to wrap up 2014 led us to increase our full year EPS expectation to $3.08 per share, a number that includes a negative impact from foreign currency and additional marketing investments, components that Bob will provide more detail on in his comments. I would like to also provide some additional insight to our strong performance during the quarter, our global supply chain organization continues to do an extraordinary job managing our sourcing relationships and getting our products to market. Ahead of our biggest revenue growth quarter of the year our inventories are only up 4%, a significant accomplishment in light of the current business environment and we’re confident that we’ll service our customers at a very high level. As you’d expect VF continues to sharply focus on returning cash to shareholders. Today we announced a 22% increase in our quarterly dividend lifting it to $0.32 per share which along with our stock buyback will return more than $1.2 billion to shareholders by the end of this year. Before I wrap up my comments a few words about our sustainability-related activities. This is an essential part of VF’s core values and we view it as an opportunity to help shape the sustainability agenda in the apparel and footwear industry. Next week VF will publish our sustainability and responsibility report that outlines our ongoing activities, aspirations, goals, measureable achievements and performance targets. I encourage you to review our story as we further develop and extend our global capabilities and accomplishments. So to sum it up our strategy to drive near and long-term value to shareholders is working well. We continue to inspire consumers with innovative products and deepen our relationships with them. We continue to leverage our best-in-class platforms to fuel growth across our strong portfolio of brands. Given our ability to leverage our scale, financial resources and operational disciplines we have a unique competitive advantage even in the face of a challenging global economic environment and a highly competitive retail landscape. With that I’ll turn it over to Steve, Karl, Heinz and Scott to review our brands. Bob will then walk you through the financials. So Steve over to you.
Steve Rendle: Thanks, Eric. In line with our expectations third quarter global revenues for The North Face were up 9%, setting a solid base for accelerated growth in the fourth quarter. The brand’s D2C business was especially strong in the quarter with a 32% increase in revenues, which along with a sequential acceleration in our wholesale business has us well positioned to deliver another record for The North Face. In the Americas revenues were up at a low double-digit percentage rate with almost 30% growth in D2C and high single-digit growth in wholesale. On the product front our Mountain Athletics training collection led a 60% comp increase in our performance apparel sales with our own D2C. We see this momentum carrying through fall-winter season as well in to next year when we will extend this line to include women’s products. Ultra footwear is also a strong performer, winning awards from both the running and outdoor industries and during the quarter our daypack sales at wholesale were up significantly with a 35% increase. We are also really pleased with the great early season response to ThermoBall, TNF's industry leading transitional outerwear product. ThermoBall has been a top five selling outerwear star every week this year. And further proof that our innovation engine is creating revolutionary breakthrough product, FuseForm has won six major product innovation awards around the world including Outside Magazine’s Gear of the Year in their Winter buyer’s guide. This fall we will drive bold and impactful messaging, amplifying our story telling with consumers, centered around the spirit of exploration and connecting people to our featured product initiatives like ThermoBall and Mountain Athletics we will continue to increase brand visibility and drive growth. We are also set to launch a new North Face TV campaign in the U.S. in the early November, using short and long form spots as well as digital display and social media components. This brand campaign highlights the inspirational and emotional reasons to explore the outdoors. There are a lot of exciting things in store for The North Face this fall. Now let me turn it over to Karl Heinz to walk you through TNF's result in Europe and Asia.
Karl Heinz Salzburger: Thanks, Steve, and good morning everyone. In Europe, The North Face revenues increased at the low single-digit rate. Our wholesale business was essentially flat due to a combination of a sluggish outdoor retail environment and a shift in the timing of product shipments into the fourth quarter. However our D2C business was up nearly 30% in the quarter emphasizing the strength of the brand. On the product side, our ThermoBall collection continued to perform strongly supported by marketing campaign across Europe. We also successfully tested our Mountain Athletics collection in a number of stores and have plans to roll-out this product much more broadly moving forward. I am also incredibly excited about the investments we are making in our European footwear business, including our new [hatch work] collection and our first ever European designed Mountain trail running shoe which will launch in Spring ’15. So far we have seen strong initial selling of those products, and our partners are just as excited as we are. In Asia, revenues were up at the mid-single digit rate. We are seeing an improving inventory situation in China, a trend that sets up for significant growth in the fourth quarter. The ThermoBall launch was received very well by Chinese consumers. It was supported by an integrated activation campaign which included TV and Online ads. We featured product at more than 450 partner locations. We have meaningfully moved this product front and center to the Chinese consumers’ mind. Globally TNF had a solid third quarter. We expect the fourth quarter’s growth rate to be in line with our long term target of 12% which puts us on track to achieve our ’14 target. Now let’s look at Vans.
Steve Rendle: Global revenues for the Vans brand in the third quarter were up 12%, marking the 20th consecutive quarter of double-digit growth, that’s five years or half the time this brand has been in V.F.’s portfolio, truly amazing. And certainly a testament to our global team that has proven they know how to connect with their consumer, create the product they demand and stay true to the brand’s iconic off-the-wall DNA. With an 18% increase in the global D2C business and a high single-digit increase in the wholesale channel in the quarter Vans is solidly on track to become V.F.’s second $2 billion brand.  In the Americas, revenues increased at a high single-digit rate. Fourth quarter revenues should be up a high-teen percentage rate, smoothing out the second half growth rate. This is exactly on track for the Vans Americas business being up at a mid-teen rate for the full year. Let’s talk about product. We kicked off the quarter with an exciting collaboration with Star Wars for both footwear and apparel. Based on this presence at retail and in digital media it helped to increase our core consumer awareness by 7% in North America. We launched a targeted women’s campaign, Be the Original which offered our female consumers more fashion forward styles in our original slip-on silhouettes. We also enhanced our four season focus by introducing our weatherized product line across apparel and footwear. The globally relevant footwear products are designed to keep you warm and dry through a combination of water repellent uppers, insulated linings in a reverse [waffle-out sole] to enhance traction in cold and wet environments. Early sell-through across all regions has exceeded expectations. In our efforts to connect even deeper with consumers we just wrapped up the 20th year of the Vans Warped Tour with a meaningful attendance increase over last year’s edition and continuing its tenure as the largest and longest running music festival in America. We also hosted our second U.S. Open of surfing which drew more than 750,000 people and 1.4 million visitors who tuned in online and through social media. This event has quickly become a centerpiece of surf, skate, and street culture, an inclusive environment that we are truly honored to be part of. We’re also set to kick-off the next phase of our Living off the Wall campaign with all new interactive content and videos. If you haven’t, I encourage you to check out the incredibly inspiring stories about what it means to live an expressive creative lifestyle, a very representative deep dive into our global core consumer. Connecting with consumers, innovative and authentic product and an amplified D2C presence, universally our growth engine is firing on all cylinders. [Karl]?
Karl Heinz Salzburger: In Europe revenue grew at the mid-teens rate with D2C growth of 25% and the low double-digit increase in the wholesale business. During the quarter we also launched weatherized products, an initiative that is particularly important for Europe and so far we are very pleased with the early results. We also launched our Footwear Plus concept stores in London and Rome which feature a footwear focused assortment with complementary accessories in a much smaller more efficient footprint. These stores are showing strong early results and we plan additional rollouts in key markets to drive geographic expansion and brand visibility. In addition to footwear our apparel and accessories categories also showed strength. I am proud to report that the August opening of our first European House of Vans in London exceeded our expectations. In the nine weeks since the opening of this location we are overwhelmed with enthusiasm and energy that this unique venue and experience has created. It’s truly an amazing experience that we highly recommend. In Asia Vans revenue grew nearly 40% with China increasing more than 40, so strength across the board. We’re also seeing strong results in apparel and footwear. Highlights in footwear include our Hero product stores in Sussex for Liberty, Star Wars and Hello Kitty collaborations. We also bring the House of Vans concept to Asia through mobile popup events in key markets like Shanghai and Seoul. The third quarter proved yet again that Vans brand is at the center of action sports art, music and street culture. We look forward to a strong finish to the year. Now let’s take a look at Timberland.
Steve Rendle: As Eric mentioned we are incredibly proud of what Timberland has achieved during the past three years and have tremendous confidence in our ability to reach $3.1 billion in revenues by 2019. But first back to 2014 in what’s turning out to be an exceptionally strong first year of the new five year plan, so good in fact that we now expect 13% revenue growth this year, right in-line with our long-term target. Third quarter global revenues were up 15% driven by 18% wholesale growth and a 6% increase in D2C. We’re focusing on Timberland's consumer using findings from our extensive insights research; we're delivering relevant products, connecting with consumers where they live and play and amplifying their experience at retail. As you saw at the recent Timberland Investor Day the resulting top line momentum and clear product and brand definition is now powerfully coming to market. In the Americas, revenues were up 22% driven by more than 30% growth in the wholesale business. This growth, similar to the second quarter was very balanced across all products and channels. We saw broad based sell-through of our classic boots and casual shoes and our Pro-Line continued its strong momentum, particularly with the Boondock Family of Boots and our newly launched Power Train collection. On the apparel side we continue to expand our distribution and see strong sell-through as our fall 2014 collection hits retail floors across our own and wholesale partner doors. As you saw at our Investor Day, Timberland's highly successful Best Then, Better Now campaign continues to play a critical role in reinforcing the brand as a stylish relevant outdoor lifestyle brand, focused on the outdoor lifestyler consumer segment the current campaign centers on a city outdoors, brand positioning using a combination of film, digital and print with the pinnacle print execution being a six page spread in GQ. Our style-driven content and storytelling is amplified through aggressive social and digital media programming and it is getting a great response from our consumers. Now turning to our international business, Karl Heinz.
Karl Heinz Salzburger: Timberland's revenues in Europe were up 15% in the third quarter with balanced growth in both D2C and wholesale. This is the strongest third quarter performance the brand has seen in many years and gives us confidence to reach our future goals. To further drive connection with the European consumer we launched a new influential campaign in collaboration with one of Europe's leading youth media companies. This digital advertising campaign is built to drive relevancy and engagement with the European consumer. It highlights our apparel collection showing stylish and versatile full toe to head looks. We also celebrated the reopening of our flagship store on Regent Street in London. So great things ahead for that iconic retail location. In Asia, third quarter revenues increased at the low single digit rate. We expect a meaningful acceleration of the business in the fourth quarter with a strong finish to the year. On the product side men's classic boots and boat shoes led the way in the quarter and apparel performed really well. What an exciting time for Timberland, our products have never been better or more clearly defined. We are connecting with consumers more directly than we ever have and we have high confidence that this brand will fulfill its goal of becoming the largest, most sustainable outdoor lifestyle brand on earth. Now let's move to Jeanswear. Scott.
Scott Baxter : Thank [Karl] and good morning everyone. Global revenues for the Jeanswear collection were up slightly in the quarter or up 2% in constant dollars. This is in line with what we spoke about in July and reflects continued sequential improvement. During the third quarter global revenue for Wrangler increased 3% or 4% in constant dollars and revenues for the Lee brand were down 1% or flat in constant dollars. In the Americas, the Jeanswear business was down at a low single digit rate due to continued challenges in the U.S. mid-tier department store channel and continued trends in women's denim. Just like last quarter this mostly impacted the Lee brand. Revenues for Lee in the Americas were down 11%, were down 10% in constant dollars during the quarter, in a channel and category that remains challenged and while the overall market remains soft Lee’s newly released products are resonating with consumers. Our modern series Denim collection for men and the curvy fit series for women are seeing strong sell-through. And similarly within our mass channel we are very pleased with our early launch results for our Riders by Lee Heavenly Touch product which introduces the comfort of knit with durability of denim. Turning to Wrangler’s Americas business, revenues were up at a low single-digit rate or mid-single digit in constant dollars. This increase was driven by slight improvement in the mass business and a 10% increase in western sales and the strategies that I have discussed on the last several calls to expand our distribution and create additional demand with new products is playing out as we expected. Wrangler recently introduced Rock 47 which shakes up traditional western style for both ladies and men and the response thus far has been above expectation. Test of our new performance denim line, Wrangler Cool Vantage have been producing strong results and we plan to roll it out more broadly over the next several quarters. Overall we continue to face a pretty difficult environment in the Americas but we're weathering the storm with our brand strength intact by focusing on providing consumers with the innovative products they want, inspiring brand loyalty and tightly managing our inventories to ensure that we remain the best positioned in our industry. Karl Heinz?
Karl Heinz Salzburger: Revenues for our international Jeanswear business grew more than 10% during the third quarter. In Europe Jeanswear revenues were down slightly due to mid-single digit decline in Wrangler’s business partially offset by a modest increase in the Lee business. For the full year we expect our European Jeanswear business to be up at a mid-single digit rate, evidence that our strategy is working. In Asia, revenues were up more than 30% led by balanced growth between the Wrangler and Lee brands. We are very pleased with the performance of Lee in Asia which posted its fourth consecutive quarter of growth and is well positioned for continued success in this very important region. To sum it up we continue to make progress in our global Jeanswear business and we are where we thought we would be at this point in the year. As we look to finish the year we expect fourth quarter revenues to be up at the mid to single-digit rate. Now Bob will take you through our financial highlights. 
Bob Shearer : Thanks Karl Heinz. And so with three quarters of the year behind us not only has 2014 played out pretty much in line with how we expected it to, but we’ve delivered this performance in an increasingly dynamic economic environment. Our consistent results reflect the strength of our powerful brands and platforms and our laser sharp focus on operational excellence. For the third quarter total VF revenues increased 7%, once again led by our Outdoor & Action Sports business, which grew 11%. The strong brands in this coalition continue to play a bigger role in the VF story. Our D2C business, which was up a robust 16% in the quarter including growth in all of our brands which have direct-to-consumer operations and our international business, which was up 9% or 10% in constant dollars with strong growth in both Europe and Asia. And with one quarter to go we have great confidence we’ll achieve our 8% revenue growth outlook for 2014, right in line with our long-term financial target. Our gross margin at 48.3% was 70 basis points higher than last year’s same period. Our fastest growing platforms Outdoor & Action Sports, D2C and International also have our highest gross margins and they will continue to favorably impact our gross margin rate going forward. We continue to expect strong gross margin comparisons in the fourth quarter of the year when our gross margin rates should be up more than 100 basis points versus last year’s fourth quarter. As we’ve seen in prior years the significant growth in our direct-to-consumer business is a primary factor in driving this increase. Accordingly we expect our full year gross margin to approximate 49%. Turning to the SG&A line, our SG&A rate was up a modest 40 basis points as compared to last year and this is despite the significant investments we continue to make in our D2C business. We have 131 more stores now than we did one year ago. [inaudible] we continue to make meaningful investments in marketing our brands. In fact we now plan to spend an incremental $10 million behind our North Face and Vans brands in the fourth quarter. As you know, we’ve done this in the past resulting in strong momentum heading into the following year. All-in our total marketing spend should increase by about $50 million in 2014 over 2013. Then also on the plus side, our investments in D2C drive up our SG&A ratio to revenues as our D2C businesses have a higher than average expense ratio but keep in mind our D2C business is also rewarded with a much higher gross margin than average resulting in a positive contribution to our operating margin. And then the final ingredient, we offset these investments with leverage from revenue growth throughout the remainder of our expense structure. That allows us to hold our overall SG&A ratio relatively flat, make the appropriate investments behind our businesses and grow our operating margins. That’s how we will improve our operating margin in 2014 and for years to come. And in fact, in the third quarter operating margin improved 40 basis points to 18% and earnings per share was up 11% to a $1.08. So now let’s take a closer look at the performance in each of our coalitions beginning with our Outdoor & Action Sports coalition, third quarter revenues grew 11% driven by a 20% increase in our D2C business and a high single-digit increase in wholesale sales. By geography the growth was very balanced with a double-digit increase in all three regions. Aside from the North Face, Vans and Timberland, which as you’ve heard delivered strong performances in the quarter. Kipling, Eagle Creek, Lucy and Eastpak also contributed strongly to the coalition’s growth. And Timberland had a great quarter with 15% growth and continues to build on the brand’s momentum that started in late 2013. In fact based on the strength of Timberland’s year-to-date performance we now expect the brand to grow 13% in 2014, up from our previous outlook of 12% putting it right in line with this brand’s 2019 expectation that we detailed at our Investor day last month. Operating income for Outdoor & Action Sports was up 13% in the quarter and operating margin expanded 40 basis points to 21.8%. This exceptional performance was driven by strong revenue growth and increased gross margin. We remain committed to putting the necessary resources behind these brands and expect to see continued positive comparisons. In addition, based on the coalition’s strong third quarter performance, including Timberland’s elevated outlook we now expect 13% revenue growth for this coalition in 2014. Now turning to Jeanswear, revenues were up slightly and right in line with what we communicated in July. As expected overall revenue comparisons in this coalition are trending better. In the Americas region revenues were down at a low single-digit rate as the US mid-tier channel remains challenging and the unfavorable women's denim trend also continued to especially impact the Lee brand’s U.S. business. In Europe, Jeanswear revenues were down slightly, impacted by the timing of shipments with low single-digit growth in Lee revenues being offset by a mid-single digit revenue decline in Wrangler. In the Asia-Pacific region we saw significant acceleration in growth with sales up 30%. Operating margin for the coalition was down 30 basis points in a challenging retail environment. Looking forward for global Jeanswear we expect the improvement and comparisons to continue. As we look toward the fourth quarter we expect a mid to high single-digit percentage increase in our Jeanswear business driven by expanded distribution in the U.S. and the launch of several new product innovations. That should push global Jeanswear revenue comparisons to the plus side on a full year basis. Moving to Imagewear where revenues grew 3%, including 10% growth in our Workwear business and a mid-single digit rate decline in LSG. Now as a remainder we exited the unprofitable youth business for Major League Baseball. Excluding the youth business exit Imagewear revenues were up 4% in the quarter. Imagewear operating margin was up 40 basis points due primarily the higher volume and a favorable product mix. We continue to expect Imagewears revenue to be up at a low single-digit rate for the full year. Sportswear coalition revenues grew 5% during the third quarter. Nautica revenues were up 2%, driven by a high single-digit increase in their D2C business. However, the brand’s performance continues to be negatively impacted by the ongoing challenges for sportswear in the U.S. department store channel. Kipling’s strong momentum continued into the third quarter with sales up more than 22% in the U.S. and up 20% on a global business. Operating margin in our Sportswear coalition was 14.1%. And then finally our Contemporary brands business saw a 5% decline in revenue with a low double-digit increase in our D2C business being offset by decline in our wholesale business as premium denim trends at department stores remained unfavorable. And as a reminder, the shift to licensing in our Splendid and Ella Moss children’s business negatively impacted coalition revenue comparison by about two percentage points. Turning to our balance sheet, as a result of our strong operational discipline inventories were up just 4% in the third quarter and shifting gears a bit and related to our commitment to returning cash to shareholders we declared a quarterly dividend of $0.32 per share reflecting a 22% increase over the prior quarterly rate. Our dividend payout in 2014 should approximate 36%, representing great progress toward our longer-term goal of 40%. That means that our cash return to shareholders in 2014 including our dividend and our share buyback will be in excess of $1.2 billion. Our outlook for cash remains strong and we continue to expect cash generation in excess of $1.65 billion for the full year enabling us to completely pay down our commercial paper by year-end. Turning to the full year outlook, we continue to expect 8% revenue growth in 2014 right in line with our 2017 organic growth target. Gross margin and operating margin are expected to reach about 49% and 15% respectively, which puts us ahead of the pace we anticipated in our 2017 goals. And finally based on our strong fourth quarter’s expectation our earnings per share in 2014 is now expected to reach $3.08 per share, an increase of $0.02 over the prior outlook representing 14% growth over 2013, again ahead of the annual pace in our 2017 or five year outlook. It’s important to note that this increase to $3.08 includes and absorbs a $0.02 negative impact due to currency fluctuations since our prior guidance. We now assume a Euro to Dollar rate of 1.26 for the remainder of the year versus our previous assumption of 1.33. And so to wrap it up, we feel great about what we have accomplished so far in 2014. We are headed for another strong year of revenues and earnings growth now pointing toward 8% top line and 14% earnings gains. Our strong platforms are working and we’ve never been more confident in our ability to sustain this exceptional performance. We look forward to wrapping up 2014 on a really positive note and laying out our plans for 2015 in our February call. And with that I will turn it back to the operator and we can open up the line for questions.
Operator: Thank you. (Operator Instructions). And our first question we’ll hear from Bob Drbul with Nomura Securities.
Bob Drbul - Nomura Securities: Hi, good morning.
Eric Wiseman: Hey Bob.
Bob Drbul - Nomura Securities: Eric, I guess couple of questions on, on the direct-to-consumer I think it was up 16% which is higher than the Group, are you seeing any signs of cannibalization versus the wholesale accounts, specifically in The North Face and Vans?
Eric Wiseman: No, Bob we are not. We are really proud of the performance of our D2C component, up 16% is strong. What’s more important is what’s beneath that. Our comps in our Brick and Mortar stores were up single-digits in the quarter and our e-com business was up 30% in the quarter and we don’t see it affecting our wholesale business. Our wholesale business in brands like Timberland and North Face and Vans remains strong.
Bob Drbul - Nomura Securities: Okay, and then I just had a question on the Jeanswear outlook. I was wondering Scott could you talk a little bit about the inventory levels, sort of the women’s inventory levels and then within Lee in America and just comment on what’s driving the expectation for I think it’s mid to high single-digit increase in the Jeanswear coalition?
Scott Baxter: Sure Bob I would be happy to. So first you heard in Bob’s presentation that we did a terrific job as a company with just a 4% increase in our inventories year-over-year with strong growth and actually the job that the Jeanswear team did on a full year basis quarter-to-quarter were down 4% year-over-year in our inventories from the actions that we took in the beginning half of the year that we shared with you. I think the big thing that’s driving our performance here in Q4 is a series of new product innovations and new product introductions. Curvy fit, Heavenly Touch, Easyfit modern series for men and women, advanced comfort, all of those things that have come to market here in the last couple of months and then continued to flow through the system here for the fourth quarter and going into next year. And then in addition to that and you have heard me talk a lot about channel distribution in our [where to plays] and we’ve expanded that. For instance Wrangler is now in the mid-tier, Lee is now also in the department store channel. So combining those efforts of those two things and really tight inventory management I think gives us good confidence for the fourth quarter.
Bob Drbul - Nomura Securities: Great, thank you very much.
Operator: Next we’ll move to Matthew Boss with JPMorgan.
Matthew Boss - JPMorgan: Hey, good morning. So you guys highlighted revenue shifts out of the third quarter and into the fourth quarter at both North Face as well as Vans earlier on the call. Could you just elaborate a little on the magnitude and also speak to the goals behind the incremental $10 million marketing for North Face?
Eric Wiseman: So I will jump in on this one, from an Americas point of view in the North Face first we saw really strong Q2 mid-teen growth. We continue to see the momentum building against our 12 year growth for the year. We could not be more excited about the strong product stories, the Mountain Athletics and Ultra Footwear that pushed into spring and the big initiatives of ThermoBall and FuseForm for the second half supported by really bold and impactful messaging. Our Vans business could not be stronger. We had a high teen growth rate in Q2. We see a high teen growth rate in Q4 that really flattens out and gets us to that mid-teen growth that we guided to for the full year. And again same messages in The North Face, really strong products. As we think about how to elevate classics through our collaborations, the apparel launch, that continues to gain momentum and then our weatherized footwear launch here in Q3 that really puts the Vans business on the map as a four season brand. The North Face additional marketing that you referenced is really consistent with what we’ve been doing the last two years and investing behind those brands with significant momentum. We’re really excited about the TV campaign that The North Face will be launching here in the next week, what that means to the online digital push as well as supporting within the stores. So could not be more proud and confident with these two businesses. 
Matthew Boss - JPMorgan: Great and then Eric just a higher level question what are you seeing larger picture from a consumer perspective? Any view on the promotional landscape in the holiday and then more specifically any changes in forward-looking wholesale orders into next year that you’ve seen so far?
Eric Wiseman: I won’t talk about forward orders in to 2015, so I’ll take that one off the table. We’re seeing consumers -- everybody here is in the [resilience world], Matthew we’re just seeing that consumers are still showing up if you have innovative products supported by a strong story telling capability and that’s why we were getting the kind of organic growth rate we’re going to have this year. I mean growing 8% globally in this environment isn’t easy and it’s done because we have great brands. Steve just talked about the new products in The North Face. It’s also true for Vans and it’s true for Timberland. And our investment in marketing is really about story telling. We’re going to make sure that we tell the story of the North Face, in the example he gave, in a really compelling way and what we basically did with the $10 million is we bought more ad space to get the story out there. That dynamic is working for us. Everything has to be aligned. You have to have the right story to tell. You have to tell well, it has to be backed by products that are really compelling and when you see the North Face ad this fall on TV it will touch you I promise. 
Matthew Boss - JPMorgan: Great, good luck guys. 
Eric Wiseman: Thanks. 
Operator: And we’ll move on to Michael Binetti with UBS.
Michael Binetti - UBS: Morning guys, and first of all just a big congrats to Bob on your news this month, Bob it’s great news for you. 
Bob Shearer: Thank you Mike. 
Eric Wiseman: We’re not done with him yet. 
Michael Binetti - UBS: Let me zoom in on The North Face for a minute there, I want to make sure I understand the growth trajectory. Help me think about in Europe it particularly sounds like you had an unfavorable shift in the quarter and there may be some weather issues in that market but if we think longer-term about that brand in Europe, what should The North Face grow at in Europe over the longer-term?
Karl Heinz Salzburger: Okay Karl Heinz here Michael. Europe it’s widely reported, it’s not having the strongest economy at this moment. That’s widely reported in the news. So is the Outdoor industry. Now we’re not immune of this environment but that shouldn’t be alibi not to grow. We had good quarter so far and we confirmed our goal for this year which is up in single-digits. So the brand is growing, the brand is strong. What we know from market data we are gaining share. It’s doing well with consumers. What Eric mentioned before the innovative products are helping us a lot. So it’s not the easiest environment but we are here with a goal to grow and we are growing this year. 
Michael Binetti - UBS: Okay and then I guess maybe this will be a question for Bob but it looks like the gross margin expectations for the fourth quarter is for the expansion to accelerate from where it was in the third quarter. Can you just talk us through maybe some of the finer points of the components of that gross margin mix, maybe some of the dynamics that changed in fourth quarter versus third quarter other than the usual mix towards higher direct-to-consumer?
Bob Shearer: Yeah and actually Michael that’s what it is. In the fourth quarter, as I said, we’re expecting more than a 100 basis points of expansion and a 100 basis points comes from mix and clearly no question that the strong D2C mix in the fourth quarter and our growing D2C businesses including the stores as well as e-com is a primary factor in that. So it pretty much comes down to that. There’s a little bit -- what gets us above the 100 points is a little bit of help from that concession accounting change we talked about in the past couple of quarters and then other than that from a cost and pricing standpoint everything pretty much balances out. So the mix factor continues to be a big factor for us and it has over the past number of years and it will for years to come. 
Michael Binetti - UBS: Okay, thanks again. 
Bob Shearer: Sure. 
Operator: And next we’ll hear from Omar Saad with ISI Group. 
Omar Saad - ISI Group: Thanks good morning guys. My first question I want to dig in a little bit deeper on the DDC -- DTC business, now over 20% seems to be consistently growing much faster than the wholesale. Could you share with us maybe some of the detail around how you think about the algorithm there, how the accounts played out, square footage growth versus comps store growth? And then layering in the e-commerce piece and how you think about that going forward and especially given some of the volatility in some of your wholesale channels in the mid-Tier do you think more about accelerating the DTC strategy?
Eric Wiseman: Sure, Omar. Just to step back from a big picture in June of 2013 when we laid out our plan we thought we will get our direct-to-consumer business to about 25% of our total. Since that time we have changed our accounting for concessions. That’s going to add a couple of points to that and we are now pointing probably at a 30% of VF total mix by 2017 or 2018. That’s where it’s going to come in. So yes, it is going to be growing faster than our wholesale business. A big driver of that is e-com. It’s also the biggest unknown. It’s really difficult for us to project what the e-com opportunity is five years out because we don’t know how much consumers are going to have appetite for that and how they will be getting to our brands through their mobile or home devices. We are on track to add 150 new stores this year. We ended the third quarter with 131 more stores than we had at end of the third quarter last year. And that rate of about adding about 150 stores a year is what we have assumed will happen over the 2017 planning period. So combination of we expect to grow mid-single-digit comps in our brick and mortar stores. When you do that on top of adding stores that’s probably going to -- and the E-commerce growth being really strong it’s going to become a bigger part of mix and that’s why we are taking about a 30% number now. Beyond that we don’t have any guidance. Did that help you?
Omar Saad - ISI Group: Yeah, that’s very helpful. And one follow-up there has been a lot of volatility in the stock markets recently, health scares around Ebola and geo-political events in the Middle East and elsewhere. These big swings in the market do you see any -- are you seeing any impact at the consumer level, are consumers aware is it effecting their behavior at all, kind of week-to-week, month-to-month, day-to-day. I am just wondering if you are seeing that maybe in Europe more so in the U.S.
Eric Wiseman: We have not seen any material impact. I mean there is a lot things move consumers. Gas price is going down, right now that helps us a lot of in the mid-tier and mass channels because a lot of those customers have very little discretionary income and the fact some of it’s not spoken at the gas pump might mean it could be spoken for buying a pair of Wrangler jeans, we’d like that a lot. So all-in it’s hard for me to sort through what effecting consumers but we are seeing enough consumer activity right now that we are confident in the kind of numbers we are laying out for the fourth quarter, which are pretty strong.
Omar Saad - ISI Group: Great, thanks guys. Nice job.
Eric Wiseman: Thanks Omar.
Operator: And we will move on to Robby Ohmes with Bank of America.
Robby Ohmes - Bank of America: Hi, good morning guys.
Eric Wiseman: Hey, Robby.
Robby Ohmes - Bank of America: Just two questions I think mostly for Karl Heinz. First, Karl can you give us a little more detail on the improving inventory situations in China. Maybe remind us where the industry has been, I think that was maybe regarding North Face but maybe remind where the industry’s been and where it is now what you think could be happening for North Face and any other brands in China you want to comment on. And then the second question is just Europe Jeanswear, how is the environment different then the Jeanswear environment in North America? How are you driving the business over there? And also could you just remind us overall Russia’s percent in your business and what’s Russia’s outlook looks like for you guys right now? Thanks.
Karl Heinz Salzburger: Thank you. Okay, let me start with the first one, the China situation on inventories. You might recall we had an issue with jeans a while ago which stopped our growth. Now that is sorted out. In fact we have been growing since four quarters now in a row. So that is sorted out. On The North Face as we said in our last calls we saw it coming and we anticipated that. We did not deliver all the orders to the market and we start to see the benefit. The situation has improved. It’s not where we want to be but it is improving, that’s good news. On Europe, I think you had two questions, the first one the jeans business being…
Robby Ohmes - Bank of America: Yes, Jeanswear and…
Karl Heinz Salzburger: It is different market. I would say price points are a little bit higher. Consumers are willing to spend more for each jean. So our opening price points are starting from €50, €60 which is about $80-$90 so it’s is a market which is not really growing in the last couple of seasons. We are doing well. We had some issues in the past but as you have heard us saying in the last few quarters we’ve found a way which makes us grow in a low single-digit but we are growing, which is good news both on Lee and Wrangler. Russia is a situation where we have a variable business model. Russia is tough at the moment you can imagine. We have a few owned stores but mostly actually are stores with partners. So we are not directly exposed. So our exposure in Russia is not big. It’s a good market going forward but currently it’s very, very small for us. 
Robby Ohmes - Bank of America: Great thanks very much. 
Karl Heinz Salzburger: Thank you. 
Operator: And next move on to Jay Sole with Morgan Stanley. 
Jay Sole - Morgan Stanley: Hi good morning. 
Eric Wiseman: Good morning. 
Jay Sole - Morgan Stanley: Just have a question about the guidance, so you mentioned that FX having a negative $0.02 impact on the full year number. Can you talk about how that impacts the P&L from the top line or the gross margin or SG&A and where we’re seeing a change based on FX?
Bob Shearer: Yeah so from the top line standpoint also has some impact. So that on a full year basis, we’re guiding to 8% and that would be 9% in constant dollars. So the $0.02 again it’s versus what we previously assumed and primarily related to the Euro rate. So in our prior guidance we assumed a 1.33 rate for the remainder of the year and now we’ve lowered that to 1.26. So it impacts in translation only, it impacts every line of the P&L going down to the EPS line. So it’s pretty -- again it has that same kind of impact in each line. So the $0.02 on a full year basis related to again to the Euro move primarily. 
Jay Sole - Morgan Stanley: Got it, thanks so much.
Operator: And we’ll move on to Kate McShane with Citi Research. 
Kate McShane - Citi: Thank you good morning. 
Eric Wiseman: Good morning Kate. 
Kate McShane - Citi: I have two questions, one is on Timberland with the stronger growth rate for wholesale versus D2C, it’s a big difference from the trajectory we are seeing from the other brands. I just wondered if you expect that to change overtime and then why there is such a difference.
Steve Rendle : Hey Kate, this is Steve. I’ll take a shot at this and Cage can fill in for International side. As you saw last month, our strategy at Timberland is really, really working. We have been focused on really right sizing our D2C portfolio. As we went into this year we did not envision any new stores here in the Americas market, rather focusing on productivity. So as you look at that and you think about the impact of no new stores our D2C is not seeing the same growth rate as you would see, maybe you’re seeing in our wholesale business. In fact, our D2C business has been delivering high single-digit comps throughout the year and we see that continuing through the balance of the year here in the Americas. 
Karl Heinz Salzburger: And Kate we have a very stimulus situation in Europe, we have [not] opened stores. The goal was the same as Steve outlined. It’s a little bit different in Asia, we have opened a few stores but its inline what we have done years before. Asia had been consistently growing since the acquisition, no big change there. 
Kate McShane - Citi: Okay great thank you. And I -- we’ve called out on the call with regards to Nautica and just continuing challenges in Sportswear, can you talk a little bit about how much is just the category within the department store and how much is specific maybe to Nautica and maybe how you’re going to try and address these challenges going on in the future?
Eric Wiseman: Absolutely so Nautica is really two stories, there is the wholesale channel which is very well reported, is not robust and we’re doing well but we’re not seeing growth in that channel. Where we’re seeing growth and in that one place where we do control our brand is in our own D2C and we’ve seen high single digit growth in our D2C with mid-single digit comps and I think that’s a real testament to the brand and how we’re able to bring that to life in our retail environment, how we’re able to really show the new products that come out within the season and continue to give us confidence about the long-term potential of the Nautica brand. 
Kate McShane - Citi: Thank you. 
Eric Wiseman: Thanks Kate.
Operator: And we’ll move on to Dana Telsey with Telsey Advisory Group.
Dana Telsey - Telsey Advisory Group: Good morning everyone. As you think about SG&A can you give any color around the fixed versus the variable components as how you’re thinking about given the increased D2C component? And just as you think about next year puts and takes, cost of goods sold and FX, I know you’d mentioned FX earlier, is there any other clarity? Thank you. 
Bob Shearer: Okay so I’ll start on the SG&A, how we think about that. It’s always hard to differentiate the fixed versus the variable. Frankly everyone here will tell you that I think about all of it as variable. There is always ways to control the SG&A but here I spoke to a bit in my commentary and it’s the way our model works. Clearly you mentioned D2C, the D2C business I think everyone knows that the D2C businesses carry up a much a higher ratio of expenses to revenues and then our wholesale business. So it does all by itself it pushes up our ratio or would push up our ratio but what we have been able to do and as we spend more against marketing as well what we have been able to do is however is we look for offsets to that elsewhere in our expense structure. So and the ability to grow gives us the ability to leverage the rest of our expense structure against that growth. So yes the D2C business and the marketing side as well would push the ratio up by themselves but what -- because of the growth and it’s something we look for elsewhere is to leverage the growth and offset those increases with reduction so that we are looking to keep our SG&A ratio relatively flat and that’s exactly what we are seeing, we’re seeing in 2014. Again this concession accounting change will push up our SG&A ratio a little bit but outside of that, from an operational standpoint our ratio is about flat year-over-year. And that’s our model. We think it’s a great model. So as we improve and grow our gross margins and keep our SG&As flat our overall operating margins expands. On the FX side your question was relative to next year in terms of what we are seeing, is that…?
Dana Telsey - Telsey Advisory Group: Yes.
Bob Shearer: Yes obviously it’s a little bit too early to talk about FX relative to next year, but we can say this, that our average rate for the year despite what we are seeing here at the end of the year especially relative to the euro, our average rate for the euro is still going to be about 1.33. If the euro stays where it is today that would put some pressure right on our overall earnings if it stays around the 1.26 to 1.28 range it would put some pressure on earnings but again it’s just too early to call. We’ll have a lot more to say about that in our February call when we layout 2015.
Eric Wiseman: Yes Dan just to add to that and we will do that in 2015 as Bob said -- if you had to make a call today you’d probably see some headwind from currency, you might see some tailwind from Denim prices if cotton stays down, you might see a headwind from labor rates in Asia and we are going to detail all that out in February and get you to all the assumptions that we have built into our plan.
Bob Shearer: And then just one other point just so it’s really clear is we hedge the transactional side not translation. So on a transactional basis we’re pretty well hedged for next year. So we’re not concerned about exposure from that standpoint. It would just be translating those foreign currencies into U.S. dollars.
Dana Telsey - Telsey Advisory Group: Thank you.
Bob Shearer: You bet.
Operator: And we’ll hear from Jim Duffy with Stifel.
Jim Duffy - Stifel Nicolas & Co.: Thanks, good morning, everyone. Couple of questions, first I think most of us very closing the directional [change in growth] rates from one quarter to next. Those rates for Vans and North Face in the third quarter appear notable at first glance. I’m going to ask if you can explain in more detail the mechanics and magnitude of the shift in shipments for those brands into the fourth quarter.
Eric Wiseman: So just to make sure that we all heard your question, it was a little muffled, you are looking for an explanation of the quarterly timing shift for Vans and the North Face in terms of the revenue growth rates?
Jim Duffy - Stifel: That’s correct, thank you.
Eric Wiseman: Okay. So Jim here in the Americas it’s absolutely a timing issue we had high-teen growth for Vans in the second quarter, we’re seeing the same level of growth in the fourth quarter and it’s a similar story for the North Face. I wish we could get our wholesale partners to understand that we need to speak to you on a quarterly basis and to have them smooth that out for us but if you look on a first half, second half you would see that we’re coming right inline with our 12% guidance for North Face and the mid-teen growth for Vans.
Jim Duffy - Stifel: Okay, fair enough. Next question is on the mid-tier channel in the U.S., can you provide some updated perspective on your views and your strategies to manage risk around the mid-tier channel exposure into 2015?
Steve Rendle : Yes Jim I can talk to you a little bit about that from a total channel we feel fairly good about the channel, feel fairly good about the customers right now. I think the most important thing for us going forward though is what we feel really good about is the partnership that we provide. We are helping to drive traffic, drive consumers into the stores, demand creation that we have, the new products and the innovation that we bring to the channel, we are an extremely important partner in this channel. So by upping our game and making sure that we are on top of it and bringing excitement to the channel, excitement to the categories that we participate in. It really helps the overall channel going forward. 
Eric Wiseman: Jim the only thing I would add to that is in terms of managing risk I would tell you that our inventories in the mid-tier channel are really clean, as clean as I've ever seen them and that's the one thing we can do to manage risk is to really keep our finger on the pulse of inventory, rates in these stores because the last thing any of us need is to get out of control there and we are not, our inventories are great. 
Jim Duffy - Stifel: Thank you.
Eric Wiseman: Thanks Jim. 
Operator: And next we'll move on to Lindsay Drucker Mann with Goldman Sachs. 
Lindsay Drucker Mann – Goldman Sachs : Thanks. Good morning everyone. I have one for Karl Heinz I was hoping that you could give us a little bit more perspective by region and by specific country within Europe and Asia on what you're seeing from the consumer?
Karl Heinz Salzburger : I guess the answer is similar to what Eric said before, starting with Europe. Europe it’s widely reported is not having the best moment from an economic point of view. This is going on since a few quarters. I guess the answer there is what we are trying as far as we are doing innovative products, good retail concepts especially products and good storytelling that is helping us to navigate probably better than others to this environment. China is little bit different. China has been growing a lot in the past years. The economic data are slower, a little bit more modest but still growing nicely, four five times faster than the rest of the world. We always had, we still have opportunities there in terms of penetration. Our total numbers of store is about 2000 as we said on four or five brands which is relatively low compared to big players. We had an inventory issue in the past which we widely reported in jeans which is sorted out and outdoor is improving. So I guess the answer is the same for, similar I would say for Europe and China and Asia, innovative products good storytelling and continuous and a lot of marketing activities that is helping consumers coming into our brands. 
Lindsay Drucker Mann – Goldman Sachs: Maybe just a little bit deeper in what you're seeing in Japan, what you're seeing in Southern Europe what you're seeing in Northern Europe, whether there is any kind of divergence. 
Karl Heinz Salzburger: Okay. Southern Europe actually is what the economists say is the worst but we sell good numbers on our bookings. They came in stronger than the past so it seems, it's going in the right direction. Japan we suffered the devaluation of the yen. We have reacted, we have increased prices. Japan has always been, it's a big market, it's a stable market, it's not a market which is growing a lot. So we're doing pretty well there with Timberland. We do well with Vans but all in all it’s a market where we don’t expect significant growth rates. 
Lindsay Drucker Mann – Goldman Sachs : Okay. And then just one clarification on Timberland, it sounds like based on your full year guidance you're looking for 4Q to be a little bit slower than 3Q as I know it's against the tougher comparison but at the same time it sounds like you're looking for a meaningful acceleration in Timberland in Asia in the fourth quarter. So can you guys just help me breakdown the components of the 4Q guidance for that brand?
Karl Heinz Salzburger: Timberland in Asia had always been growing since after we bought the brand. We always did pretty well. We had consistent double digit growth in the market. So did we have it in the Q1 and Q2? Q3 is little bit slower and we expect Q4 to go back to the double digit path. There is no meaningful change on the performance of that brand in that market. 
Lindsay Drucker Mann – Goldman Sachs : Is Timberland slowing in the U.S. and Europe in 4Q?
Steve Rendle : Not at all here in the Americas. Very, very consistent growth across the quarters.
Lindsay Drucker Mann – Goldman Sachs: Okay, thanks.
Karl Heinz Salzburger: Thanks, Lindsay. 
Operator: And next we'll move on to Erinn Murphy with Piper Jaffray.
Erinn Murphy – Piper Jaffray: Great. Thank you. Good morning. Couple of questions from me this morning. Bob first for you, could you speak a little bit more on the cost side as we think about potential benefit for lower cotton cost as it relates to in particular to the Jeanswear business? And then Eric secondly for you maybe just touching on the acquisition front just given the strength of the U.S. dollar right now, does that change how your prioritizing maybe some of the acquisition potential on a global scale. Thanks. 
Bob Shearer: So Erinn I'll start on the cotton. Sure we like what we see right now with the cost being lower. As you know we buy denim, not cotton and we buy that well in advance. So we're all locked in for 2014, so even the lower cost won't impact 2014. Assuming it stays where it is, assuming cotton stays where it is it would help us in 2015 but not until later into the second quarter.
Steve Rendle : I’d urge you to keep it in mind so that’s you know on the plus side, I’d urge you to keep in mind that there are a lot of other cost that enter into our product cost such as hides which have been up a bit, also synthetics and that kind of things. So there is a lot to sort through for 2015 and you know once again we’ll have a lot more to say about that as we lay out our plans for 2015 in February. 
Eric Wiseman: Yes, Erinn on the global acquisition front I am not sure exactly how to word this. No, it does not change how we think about our acquisition opportunities. We are always looking globally for strategic acquisition opportunities. So what’s not lost on us the fact that a strengthening dollar would help us with that but in terms of the kind of the companies we are looking to buy and who will be right as part of our portfolio it doesn’t change that thinking at all.
Erinn Murphy – Piper Jaffray: Okay, that’s helpful. And then if I can just sneak one more question just on the premium denim space, it’s clearly been a challenge for a number of brands really across the space for several quarters. If that space within wholesale is shrinking who or which type of brands or categories that are really capturing that space within the wholesale channel at this point?
Steve Rendle: Sure, this is Steve. So Premium denim there is a sector wide issue going on as women have not moved away from denim but likely are using denim for fewer occasions then they have historically and they have moved towards more of that performance athletic wear. I will say this you know with our 7 For All Mankind business we continue to see really strong share. They were not getting great growth in our wholesale we are seeing really good results within our D2C channel where we are continuing to open stores and seeing comp growth as we really focus on that consumer experience when they are in our store and looking for UPTs and higher conversions rates through just enhanced service. I will tell you that the consumer responds very nicely when you bring new products not different than any other part of our business and our 7 For All Mankind business has a very dynamic and fast supply chain and have been able to react to trends both with materials, washes and silhouettes this year helping enhance our growth at D2C.
Erinn Murphy – Piper Jaffray:  Great, thank you guys and best of luck.
Eric Wiseman:  Thank you.
Operator: And next we will move on to Barbara Wyckoff with CLSA.
Barbara Wyckoff – CLSA: Hi, everyone. Can you talk about how much flexibility you have to fast-track replenishment in Outdoor & Action Sports in the fourth quarter? And then secondly, could you talk about the performance of Lucy and Dicks and other channels in 3Q?
Eric Wiseman:  Sure so, I will take the first one on our ability to react on an at once basis. Both of these businesses are very much pre-booked businesses. The orders we have in hand and the re-order calculations that we have in our model will be how we deliver the year. We do not have an ability to really react when it comes to these businesses. On Lucy, we are really excited about our Lucy brand and I am glad you asked about it. We saw a mid-teen growth rate in the quarter, our wholesale presence is a large part of that as we move to over 360 doors with Dick Sporting goods and in all door assortment with REI where we are seeing really good sell-throughs and really good brand presentation. These are good partners for our Outdoor & Action Sports businesses and they have really been helpful in helping our Lucy brand grow beyond just being a D2C brand and being able to represent itself within the wholesale channel. We are seeing really great improvement in our product. We have new leadership at our Lucy brands and they have been in place for little bit over a year and the product is coming into the market on both on the performance side as well as more of some of the versatile do everything collection seeing really good sell throughs and giving us great confidence with the brand building momentum.
Barbara Wyckoff – CLSA: Thank you.
Eric Wiseman:  Yes, Barbara.
Operator: And our final question today will come from John Kernan with Cowen & Co.
John Kernan - Cowen & Co.: Hey, guys thanks for squeezing me in.
Eric Wiseman: Hey, John.
John Kernan - Cowen & Co.: Just a follow-up on The North Face it slowed in Asia-Pacific you did lay out some of the reasons for that but is there anything going on with wholesale partners or the competitive environment there and what gives you confidence, the revenue acceleration you spoke out for the fourth quarter for North Face?
Eric Wiseman: Yes, let me start with that, John. A couple of things give us confidence the market is very fragmented in China and the North Face has absolutely a leading brand position first. Second one, we still have a pretty limited penetration in that market as you know. The market is divided by Tiers from Tier-1 to Tier-6 cities. We predominantly work in the upper part so there is still some path to go. As you know a lot of our business is done through partners and there are some challenges going on. We are helping the partners to become better retailer, the market have been growing fast in the past. It is a little bit changing and we are also working with them to make sure that the stuffs sells through it’s better storytelling, it’s better merchandising planning, really help those guys and so that we make sure that the merchandize ultimately sells out well. Steve?
Steve Rendle: And here in the Americas as I mentioned earlier we have great confidence for a couple of reasons. This is some of our strongest products that we have seen in this brand for many, many years, really clear seasonal initiatives, spring with the Mountain Athletics then the Ultra footwear and as we come into fall big stories around innovative platforms like ThermoBall and FuseForm supported by some of our best demand creation that you will start seeing coming online here in the next weeks. Eric referenced the TV campaign that will launch here in the next week or two, will absolutely move you this is really strong, really playing on the heart and soul of this brand’s focus of exploration and really challenging human potential. And with this strong demand creation the strong in-store merchandizing that you see across our wholesale channel as well as our own D2C give us great confidence in the Q4 will continue to accelerate and deliver against that 12% guidance that we gave for the year.
John Kernan - Cowen & Co.: Okay, that’s helpful. If I can sneak one final one just on the acquisition environment helpful commentary there, but as a portfolio company would you ever be a seller in the market out there of a piece of the portfolio?
Eric Wiseman:  Yeah, we not only would, we have been, pretty regularly over the last decade I think we’ve sold eight or nine businesses. So it is something that we look at that quality and health of our portfolio of businesses and its ability to accomplish our long-term objectives and we know we need to make some acquisitions along the way and will likely make -- to divest of some businesses along the way that is our model.
John Kernan - Cowen & Co.: Okay, thanks. Good luck.
Eric Wiseman: Hey, thanks. Thanks everybody for being on the call. I’ll remind everybody that is just over eight weeks and a few days left to Christmas so please everyone go out and shop, buy a lot of products and please tick for price. We’ll talk to you in February. Bye.
Operator: And that will conclude today's call. We thank you for your participation.